Analysts : James Schneider - Goldman Sachs Randy Abrams - Credit Suisse Craig Berger - FBR Capital Markets & Co. Shawn Webster - J.P. Morgan Sukhi Nagesh - Deutsche Bank Kevin Cassidy - Thomas Weisel Partners Mark McKechnie - Broadpoint Amtech
Operator: Good day ladies and gentlemen and welcome to the fiscal first quarter 2010 Marvell Technology Group earnings conference call. My name is Stacey and I will be your coordinator for today’s conference. (Operator Instructions). Now, I would like to turn the call over to your host for today’s conference, Mr. Jeff Palmer, Senior Director of Investor Relations.
Jeff Palmer: Good afternoon everyone. Welcome to the Marvell Technology Group fiscal first quarter 2010 earnings call. I am Jeff Palmer, Marvell’s Senior Director of Investor Relations, and with me today on the call is Dr. Sehat Sutardja, Marvell’s Chairman, President, and CEO and Mr. Clyde Hosein, Marvell’s CFO and Interim Chief Operating Officer. All of us will be available during the Q&A portion of the call today. If you have not obtained a copy of our current press release, it can be found at our company website under the Investor Relations section at www.marvell.com. Additionally, this call is being recorded and will be available for replay from our corporate website. Before we begin today, we would like to remind all participants that this call will include forward-looking statements that involve risks and uncertainties that could cause Marvell’s results to differ materially from management's current expectations, including statements regarding our outlook and response to the current economic environment, industry demand, our expectations about product sales and general market trends, our expectations about revenues, non-GAAP gross margins, non-GAAP operating expenses, free cash flow and GAAP and non-GAAP earnings per share during the second quarter of fiscal 2010. To fully understand the risks and uncertainties that may cause results to differ from our outlook, please refer to Marvell’s latest annual report on Form 10-K and subsequent SEC filings. Please be reminded that Marvell undertakes no obligation to revise or update publicly any forward-looking statements. During our call today, we will also make references to certain non-GAAP financial measures which exclude stock-based compensation expense as well as charges related to acquisitions, restructuring, gains and other charges that are driven primarily by discrete events that management does not consider to be directly related to Marvell’s core ongoing operating performance. Marvell management believes these non-GAAP metrics are useful to many investors as they are consistent with some of the metrics utilized internally to manage the business. While Marvell uses non-GAAP financial measures as a tool to enhance its understanding of certain aspects of its financial performance, Marvell does not consider these measures to be a substitute for or superior to the information provided by GAAP financial measures. With respect to historic information, the most directly comparable GAAP information and a reconciliation between the non-GAAP and GAAP figures is provided in our fiscal first quarter 2010 earnings press release which has been furnished to the SEC on Form 8-K and is available on Marvell’s website in the Investor Relation section. I would now like to turn the call over to Dr. Sutardja.
Dr. Sehat Sutardja: Good afternoon everyone. Today we reported fiscal first quarter of 2010 revenues of $521 million reflecting a 2% sequential increase in line with our guidance provided in our last earning call on March 5th. We are encouraged by the sequential increase in revenue and believe the worst of the downturn may be behind us as our near-term order patterns are improving; however, as with many others in our industry, we continue to be cautious as we operate within an uncertain demand environment. As investors now observe, the semiconductor industry began under shipping and market consumption beginning in the second half of last year. According to the Semiconductor Industry Association, the overall semiconductor industry declined about 40% from peak to trough levels in the last year. Clearly, while the market demand was very weak, it was not down much. We believe the supply chain overreacted to the uncertain economic environment. Consequently in our view, the demand improvement we saw during Q1 reflected the rebalancing of inventory levels throughout the supply chain, OEMs, contract manufacturers and distributors rebuilding inventories to levels which better reflect actual market consumption. The real question on everyone’s mind by now is, “where does the industry go from here?” We believe the industry demand will likely fluctuate over the next several quarters as the supply chain searches for the appropriate equilibrium point between supply and demand. I think this is a part of the normal recovery process. As we discussed last quarter, the course of action we choose to follow in these uncertain times is to focus on the areas of our business we can clearly control and influence. In our view, the long-term we nurse as the economy recovers will be those companies that continue to invest during the downturn and those that can focus on cost and expense management and improve product design efficiency. Furthermore, we believe this course will ultimately lead to a disproportionate level of design wins of our competitors. In our view, Marvell is uniquely positioned to do this and the results over the next few quarters should bear this out. Our results within the first quarter reflect this focus as we delivered solid financial performance in the areas of profitability and cash flow generation even in this tough period. During our first quarter, on a non-GAAP basis, we reported gross margin of 51.6% while continuing to keep discretionary operating expenses under tight control and delivered $132 million in free cash flow or the equivalent of 25% free cash flow margin. These are excellent results which we believe clearly demonstrate our efforts to achieve best in class financial performance. I would now like to review the performance of our various product lines. The sale of our hard drive SOC products grew just over 14% on a sequential basis, contributing about half of our total revenues. We anticipate the sale of products to the hard drive customers should improve sequentially by low single digits during our second fiscal quarter. We believe we exited calendar 2008, that is, last year, with a greater than 50% unit share of the hard drive SOC market. We believe our overall market share on a unit basis will continue to expand in the future as we begin shipping devices to new customer design wins in calendar 2010. In our view, our consistent share gains in the storage base are a direct result of our relentless focus on innovations. We are currently sampling our fourth generation LDPC re-channel technology which provides improved SNR, contributes to improved capacity, and finished end product use for our hard drive customers. Additionally, our current and future customers are already committed to using the technology to achieve next generation drive capacity points. This is an area of clear competitive differentiations and leadership for Marvell. Turning to the performance of our embedded wireless and mobile products, revenues were about 20% of the total and were down about 15% sequentially due to inventory and product transition management by our customers. We believe this inventory and product transitions are behind us and we expect revenues in this area grow by more than 25% in our second fiscal quarter. We continue to see solid design wins within embedded wireless for gaming platforms, digital cameras, printers, and enterprise access platforms. In the handset market, there has been a lot of commentary about this win momentum for mostly radio-combo devices, but the fact is, many handset manufacturers have yet to make the transition. We continue to count several tier 1 handset manufacturers as customers of our industry leading devices. We do expect the industry will make the transition to wi-fi and Bluetooth combo devices especially for the high-end Smart phones over the next several years, and we expect to be a major player in this transition. We also realize many of the low-end phones will not require wi-fi for the next several years. These low-end phones will continue to rely solely on Bluetooth. We are currently sampling our second generation Bluetooth and FM radio combo device which is optimized for this steady large-volume but low-end market. In our opinion, these 55 nanometer devices have the lowest power, the industry’s most sensitive FM receiver and the smallest phone factor. In our mobile process of products, looking out 6 to 12 months, we believe the significant investments we have made will begin to pay off. We have many new design wins both within the existing and new customer base. These wins are not only in the Smart phone market but also in many other consumer markets such as next generation digital picture frames, digital e-books, on-board automotive display systems, mobile gaming platforms, and many other new products. Over the last several years, we have vastly broadened the market reach of our application and communication process of product lines. We have devices now in 65 nanometer and 55 nanometer which address the market for low power and low cost, also devices specifically targeted for the very high performance with extreme 3D graphics capability and also products with advanced embedded modem technology. The situation we face in the cellular business highlights are dramatically the chip business has evolved into a system business with a total solution consisting of both silicone and software. The complexity of Smart phones requires suppliers to have extensive software capability to enable new products to be brought to market in a reasonable amount of time. This is the key reason we have become so successful in the hard drive market. We know how to deliver a complete silicone and software solution to our customers. The days of just designing a new chip and expecting customers to adapt to it quickly without the full software support are behind us. As one of the very few players in the cellular market to have the capability to develop both the silicone and the complex software, we expect to be a long-term leader in this very large market. Lastly, turning to our networking products, our overall sales increased approximately 5% in aggregate on a sequential basis and represented greater than 20% of total sales. We believe the sale of our networking products will grow in the high single digit range during our fiscal second quarter. We’re very encouraged by the results we’re experiencing with our enterprise products as we’re strategically focused on the highest performance switching requirements. We’re now seeing the fruits of design win activities that we began several years ago. We have a deep pipeline of new high-end switching and network CPU designs with many major networking OEMs which should go into production over the next 12 to 18 months. We are also fortunate to see many of our customers gaining positive traction with their new products many of which we’re designing to providing a positive sale win in this tough economic environment for IP equipment spending. Our ongoing success in this market is the result of devoting one of the most comprehensive portfolios of networking IP. This includes multi-core business class RM CPUs, leading edge switching capability, and advanced security-enabled devices. In summary, even with the challenging economic environment we’re operating the same. I believe, Marvell continues to expand its share in existing and many new targets. I am proud of our performance and our employees in this challenging period. I am optimistic about the future of Marvell. Now, I’d like to turn the call over to Clyde to review our financial results for the first quarter and to provide our current outlook for the second quarter of fiscal 2010.
Clyde R. Hosein: As Sehat mentioned, fiscal Q1 revenues came in at about $521 million, representing a 2% sequential increase over fiscal Q4 2009 and a reduction of 35% from the same period a year ago. This result was at the higher end of the revenue range we provided during our last earnings call on March 5th, while the year-over-year decline is consistent with the trends the overall industry has been facing. Our non-GAAP gross margin for the first quarter was 51.6%, an increase of about 30 basis points from the fourth quarter and down about 40 basis points from the same period a year ago. This was slightly higher than the mid point of our prior projected range of 51.5% plus or minus 50 basis points. The sequential improvement in our gross margin was primarily due to improvement in product mix and cost reductions we initiated last year. Our overall operating expenses for the first quarter on a non-GAAP basis were $235 million which was in line with our previously projected range of $230 million to $240 million. R&D expenses for the quarter were $179 million, essentially flat sequentially and down 14% from the same period a year ago. SG&A expenses for the quarter were approximately $56 million, down 1% sequentially and an increase of about 20% from the same period a year ago. However, if you recall our SG&A expenses in the same period a year ago included a net benefit of approximately $14.5 million due to a settlement with the SEC combined with a payment received from our directors and officers insurance policy. If you adjust for this our SG&A expenses improved by 8% on a year-over-year basis. The improvement in our operating expenses was primarily due to tighter expense management as we adjust to the current economic environment and drive to have long-term expense and profit margin. This resulted in a non-GAAP operating margin of approximately 7%, up from the approximately 6% reported in the prior quarter and down from the 20% reported in the same period a year ago. Net interest expense and other income essentially balanced off each other during the quarter. This was a slight improvement sequentially and an improvement of approximately $4 million on a year-over-year basis. Tax expense was approximately $2 million during the first quarter. During the prior quarter we had a tax benefit of about $5 million as a result of a favorable tax ruling in one of our firm jurisdictions. Our non-GAAP net income for the fiscal first quarter was $32 million or $0.05 per diluted share, essentially flat with the last quarter, as the improvement in operating profit was offset by higher relative taxes. During the same period a year ago we earned $150 million or $0.24 per share. The shares used to compute the diluted non-GAAP net income per share during the first quarter were approximately 637 million, up from 629 million shares in the prior quarter and higher than the 624 million shares reported in the year ago period. Changes in diluted share count are primarily due to the variations in average and ending share trading prices in the reporting periods reflected in the treasuring method of computing diluted share count. Let me now summarize our quarterly results on a GAAP basis. We experienced a GAAP net loss of approximately $39 million or $0.06 per share in the first quarter as compared to our loss of $0.11 per share we reported in our fourth quarter of fiscal 2009 and lower than a profit of $0.11 per share we recorded in the same period a year ago. Sequential improvement in our GAAP earnings was principally the result of increased revenues, improved gross margin, and lower stock option expenses as compared to our results in the fiscal fourth quarter of 2009. The difference between our GAAP and non-GAAP results during the first quarter of fiscal 2010 was primarily due to stock-based compensation expense of approximately $32 million or $0.05 per share. Amortization of intangibles represented approximately $30 million or $0.05 per diluted share and restructuring related expenses represented approximately $9 million or a penny per diluted share. Our stock-based compensation during the quarter was low by $13 million both sequentially and on a year-over-year basis. The decrease in stock-based compensation expense is primarily related to the stock option exchange program we implemented in fiscal Q4 2009 and option grants that fully vested at the end of the last fiscal year. As a result, we expect ongoing option expenses to be in the range of $30 million to $35 million per quarter over the remainder of fiscal 2010 as compared to $40 million to $45 million per quarter in the last year, representing a 25% to 30% reduction year over year. Now, I’d like to review our balance sheet as of the end of the fiscal first quarter 2010. Cash, cash equivalents, and short-term investments were approximately $1.1 billion, up approximately $132 million sequentially and up $310 million from the same period a year ago. Cash flow from operations for the first quarter was approximately $145 million as compared to $109 million reported in the fourth quarter, and up approximately $14 million from the same period a year ago, even on the lower revenue levels. Free cash flow for Q1 was $132 million representing a 25% free cash flow margin, an improvement of nearly 40% sequentially from the 18% or $93 million in the fourth quarter of fiscal 2009 and about a 2x improvement from the 12% free cash flow margin or about $100 million of free cash flow in the year ago period. In the last four consecutive quarters we generated an impressive $634 million of free cash flow or approximately 24% of revenues. Accounts receivable were $285 million, up about $63 million sequentially and down approximately $85 million from the year ago period. Days of sales outstanding were 50 days, an increase of 10 days from the prior quarter and 8 days from the same period a year ago. The increase in AR sequentially was due primarily to revenue skew as we saw most of the increase in our revenue in the latter part of the last quarter. Net inventories at the end of the first quarter improved dramatically to $204 million from the $311 million reported in the fourth quarter, a 34% sequential decline due to improvement in order patterns later in the quarter. Our net inventories are the lowest levels in three years. Net inventories declined $166 million or 45% on a year-over-year basis. Days of inventory were 91 days, down sequentially from the 117 days reported in the previous quarter and down about 2 days from the year-ago period. We expect to increase our absolute net inventories in the second quarter due to improved order patterns, better confidence in end markets, as well as to improve our customer service ability. Accounts payable was $167 million, up $28 million sequentially as we continue to extend payments to suppliers to improve our working capital management. This was essentially flat on a year-over-year basis. In summary, Marvell is one of the first semiconductor companies to recognize the unprecedented downturn our industry was to experience beginning the second half of calendar 2008. We took early and deliberate actions to quickly lower our operating expenses and improve the working capital to better weather the revenue decline. The results of these actions are reflected in the financial performance reported for our most recent quarter. As Sehat mentioned, we continue to operate with a very cautious outlook. While we believe the worst of the downturn may be behind us, we will continue to take actions to control our cost and expense structure while generating good cash flows. Now, I’d like to provide an update on our current projections for the second fiscal quarter of 2010. We currently project second quarter revenues in the range of $540 million to $580 million or sequential increase of 40%. At the midpoint of this range, this represents an increase of about 7.5% sequentially. We currently project non-GAAP gross margin in a range of 52.2% plus or minus 50 basis points, at the midpoint, an improvement of approximately 65 basis points from the previous quarter. We currently anticipate non-GAAP operating expenses to be approximately $225 million plus or minus $5 million. At the midpoint of our guidance, this is an improvement of about $10 million or 4% from the last quarter and 19% improvement from the same period a year ago. As you recall, we announced some expense targets on our earnings call last March. Our forecast of $225 million for this coming quarter, our second fiscal quarter, represents an achievement towards our targeted expenses 6 months ahead of that schedule. Sehat and I would like to thank the Marvell employees and management team for its excellent expense management and encourage them to continue to improve. At the midpoint of our forecast, we currently anticipate R&D expenses to be about $175 million and SG&A expenses of approximately $50 million. While we continue to implement our previously announced expense reductions, we expect to see those reductions offset by expense increases due to new product introductions especially as we focus on more advanced process technologies. This fluctuation will likely continue in the future. A combination of interest expense and other income together should net to approximately zero from exchange fluctuations offset by earned interest at all cash balance. The second non-GAAP tax expense should be approximately $3 million to $5 million with diluted share count of approximately 638 million shares. We currently project non-GAAP EPS to be in the range of $0.07 to $0.13 profit per share on the balance sheet. We currently expect to generate less than $50 million in free cash flow during the quarter primarily as we grow inventories to reflect improved demand environment. The cash balance should be about $1.1 billion excluding any special items or M&A activity. We currently expect our GAAP EPS to be lower than our non-GAAP EPS by about $0.10 per share plus or minus a penny. About $0.05 of this difference is related to amortization of intangibles and $0.05 in stock-based compensation expenses. Now, I’d like to turn the call over to the operator to begin the Q&A portion of the call.
Operator: (Operator Instructions). Your first question comes from the line of James Schneider - Goldman Sachs.
James Schneider - Goldman Sachs: To start off, could we talk a little bit about where you are in terms of shipping to end consumption; you’ve talked about the overreaction of the supply chain to the negative side. Do you think you’re back to shipping to end consumption levels at this point and are there any product areas where you’re still under shipping and consumption?
Dr. Sehat Sutardja: In terms of the end consumptions, we do not have the right visibility to the end consumers, but a lot of our customers are pushing us for rebalancing the inventories. So, that’s clear. So, that’s why we’re also cautious about whether the improvement in economy is real or it is rocky or it is semi-rocky, but we’re optimistic that many of our new products on the other hand are also built in into some of the new products. So, overall we’re optimistic.
James Schneider - Goldman Sachs: On the cellular business, could you give us a sense of what revenue run rate you need to be at to reach operating break-even for that business and how far away that might be?
Dr. Sehat Sutardja: I don’t think we gave those numbers, but you should expect that in every new business that we do, we will eventually reach profitability, but because the cellphone is a huge investment. That point probably is a little bit further ahead in front of us. Even if we wanted to give you the number, we don’t have those numbers anyway. It could be another couple of years before that happens.
Operator: Your next question comes from the line of Randy Abrams - Credit Suisse.
Randy Abrams - Credit Suisse: I was wondering if you can provide an update just on timing and initial segments in the collection point for some of the new hard drive projects you have in the quarter, Seagate and Hitachi.
Jeff Palmer: I think we’ve said it’s probably around calendar 2010 and that’s the best visibility we have right now.
Randy Abrams - Credit Suisse: If I could ask, last year you had a bit of an early read-in to deceleration where back to school was okay, but then going into holidays things decelerated. It looks like you’re building inventory a bit in July and I guess some of that support current quarter increase, but to what extent are some of the early order indications in inventory levels suggest saying continued improvement into the back half of the year or do you see that for one quarter snap back?
Clyde R. Hosein: There are two questions in there; one is on inventory. We’re billing some. We think at least in some of our areas we have better profile. The demand pattern picked up quite a bit in the last month of the last quarter and probably will continue for most of this quarter. We are seeing in some areas spot shortages. So, we need to improve on that. We feel very good about this quarter and that’s clearly indicated in our forecast. We only provide forecast for one quarter. Sehat mentioned we’re very cautious about the second half. I think our opinion is back to school is probable, I think that will happen; we’re seeing some of that demand here, but I don’t think anyone certainly on this planet could say we’re totally out of the economic downturn. I think we certainly believe we’ve seen the bottom and I think there’s improvement. So, I would caution people that if you do beyond back to school to the typical Christmas season, I think we have very little visibility into that and I’d caution people not to get too carried away with the near-term strong growth we’re seeing. I think for Marvell, we continue to manage our profitability and cash flow, and Sehat mentioned the things that we could control is design wins and some of the revenue ramps we see in the current quarter is some new design wins as you can see from Sehat’s statements, and that’s where I think we need to focus rather than depend on end markets. I think end markets, strong customer relations serve the strength of our products, and I think we’ll continue to pick that up. So, we don’t worry too much about that. I think we’re protecting our downside and our profitability cash flow reflects that, our expense management and gross margin management reflects that, but the visibility part of it can give you a lot. I would encourage people to be cautious though.
Randy Abrams - Credit Suisse: I think you gave some guidance for next quarter on embedded wireless and enterprise. Could you clarify on the storage, and then also for cellular; I don’t know if I caught it, but cellular performance this quarter and then your outlook for the cellular business for next quarter.
Dr. Sehat Sutardja: Storage; low single digits for the second fiscal quarter. If you look at the wireless and mobility for the next quarter, we’re talking about more than 25% growth. For the enterprise networking products I think we’re projecting high single digit growth for the second quarter.
Randy Abrams - Credit Suisse: Is there a difference between making that wireless mobility, the embedded wireless versus the cellular based thin application processor?
Dr. Sehat Sutardja: It is a combination of those.
Operator: Your next question comes from the line of Craig Berger - FBR Capital Markets & Co.
Craig Berger - FBR Capital Markets & Co.: It seems like you’re doing a great job in the hard drive side, but we’ve seen a noticeable lack of new product drivers over the last year or two. You said some of the growth in Q2 is from new products. What are the new products, where are you having the most traction, and what might be the revenue contribution on the new products, say in calendar 2010?
Dr. Sehat Sutardja: We don’t actually announce new products in storage, but we really have a lot of products there, a lot of new products, whether it is in the areas like SoCs or in the SSD controllers or in the rate controllers, and so on. So, there are a lot of new products we introduce all the time. We also introduced a lot of new products to obsolete our existing products so that we can allow our customers to stay ahead in the leading edge to make sure that our customers will always continue to be at the forefront of the technology development. In the embedded wireless also, we’re moving rapidly; many new products in 65 nanometers and 55 nanometers. Actually I have to say that across the board, we’re doing that. If you notice, Clyde also mentioned that a significant part of our expenses actually are as a result of people cost, the massive cost of doing 65 to 55 nanometers are horrendous, but this is an area that we have to invest; so that reflects the fact that we have a lot of feedbacks on new products.
Clyde R. Hosein: I think those are the areas. I think Sehat’s point on the hard drive which I think your question is, we don’t do like maybe some of customers announced products, I think our performance in that business is very well. Sehat mentioned we have 50% share of that business and that’s before we ramped up two of our most significant customers which we think should start in 2010.
Jeff Palmer: There’ll be more ramps on enterprises classes.
Craig Berger - FBR Capital Markets & Co.: As a followup for Clyde, can you tell us what the driver is behind the improved gross margin and also can you guys tell us whether you expect any new base pan customers within the next year?
Clyde R. Hosein: I’ll take the gross margin one. I think you or somebody asked earlier, we were early on to identify areas to reduce. The management team did a very good job of improving cost and expense. So, part of that is that improvement in efficiency in Marvell, part of it is mix. So, I think efficiency and mix, probably more on the efficiency side is where you see 65 basis points at the mid point of our guidance of growth. So, I think this is basic fundamental blocking and tackling from employees and management.
Dr. Sehat Sutardja: I already alluded to on the application processes and cellphone, and you’re asking the base pan; we don’t base them base pan today, but we could, but for today, our solution in the base pan we call it communication processes which is integration of highly integrated solution of base pan plus application processes. Historically when we acquired this business from Intel the focus was only on the very high-end smartphone markets, but as we took the business internally at Marvell, my focus was obviously, we talked about this numerous times, was to move the transition of the manufacturing from the Intel manufacturing facilities to the foundry facilities; that was the first phase, and then we quickly also redesigned the new products in the standard foundry’s advance process technology, the 65 nanometers and 55 nanometers to address the high volumes broader markets of the communication processor. As I said earlier, now we have products in 65 nanometers, 55 nanometers, and a lot of these products are being designed in with our existing customers as well as the new customer base, and some of these products, I also mentioned, are just targeting applications for the lower cost and higher volume markets and some of the products are targeted for very high-end smartphones and some of them are targeted for applications that requires cellphone functionality as well as gaming capabilities. That’s why we talked about having advanced 3D graphics capabilities. So, we have progressed significantly over the last several years into moving our products to address the broader markets of the cellphones. So, the engagement in the customer base is very extensive today, and that’s why I also said in our statement that 6 to 12 months from now I think that we will start seeing the fruits of our investment in our activities in this area as our future customers and our existing customer base broaden their product portfolios that will use our wireless chip solutions.
Operator: Your next question comes from the line of Shawn Webster - J.P. Morgan.
Shawn Webster - J.P. Morgan: On the inventory front you said that there were some areas that seemed lean and there were some areas that were normal; can you give us your perspective on which end markets or product segments you are experiencing lean inventory conditions in the channel and when you expect them to be normal, and then I have a couple of followups.
Clyde R. Hosein: The spot shortages I referred to Shawn were mostly related to new product ramps. I think we’re ramping faster than probably what we thought a few months ago, probably more on the consumer side of it, but I think the most appropriate thing for investors to take away is that our new product ramps are doing very very well.
Shawn Webster - J.P. Morgan: Just overall, do you consider your inventories out there with your customers to be lean or normal at this point.
Clyde R. Hosein: As Sehat mentioned we have limited visibility of our customers’ inventory. I don’t think it’s appropriate for us to comment where their inventory is.
Shawn Webster - J.P. Morgan: Last quarter you talked about some of your backlog information. Is there any of that you could share with us this quarter?
Clyde R. Hosein: At the beginning of the quarter our backlog started off at about low to mid 70s. Typically, whatever you want to call, in this environment a normal quarter, you’d be in the mid 60s. So, we’re about high single digits, 10% higher than normal; that would probably point you to the high end of the range, assuming the same level of turns. Having said that, it’s very positive, very good momentum going in, but I want to caution people again it has still got a couple months to go before our quarter ends. Our quarter ends in July. So, we got two more months to go and I don’t want to get too over the top. Second thing is, a big chunk, more than 40% of our revenues are on the consignment basis, which is but a traditional book to bill type of business. So, we need to take that in consideration. Third is, the last of those two months is part of the summer doldrums. So while we feel really good about going into the quarter, we feel pretty good about it today, and that’s why Sehat and I mentioned to be very cautious about, and I’d encourage investors to be cautious not to be too carried away. If things change, we may come out and update you guys, but that’s how it is. It started out very good.
Shawn Webster - J.P. Morgan: For your shipments for this quarter, you expect them to be fairly evenly spread over the quarter or are they stronger at the beginning.
Clyde R. Hosein: It has certainly started up strong. We’ll see where it ends up. That’s the part of caution I think we want to emphasize. We want to be cautious about this in the next couple of months.
Shawn Webster - J.P. Morgan: You said storage or SoC part of your business was 50% of sales today; what’s your total storage business including controllers and clamps and everything as a percentage of your total sales.
Clyde R. Hosein: It’s in that range.
Dr. Sehat Sutardja: It’s also important to note that this is pretty much about the levels that we’ve been running over the last many years that I know of, at least as much as I could remember. At one time, storage was 100% of the revenue, but that was a long long time ago, typically the rest of the business tends to go up by the same rate off and on a few percentage points. It has been hovering around the 50% level all these years.
Operator: Your next question comes from the line of Sukhi Nagesh - Deutsche Bank.
Sukhi Nagesh - Deutsche Bank: On the inventory side, can you give a breakdown of what your inventories were, work in progress versus finished into the quarter?
Clyde R. Hosein: To be honest I don’t have that off hand and so we have to get back to you Sukhi; it’s a mixed bag. I don’t look at it in aggregate; by product lines is where we look at it. Some of the emerging areas are very lean. Some of the more mature products obviously is more close to the finished good, but I couldn’t give you an aggregate number, we’ll have to get back to you on that.
Sukhi Nagesh - Deutsche Bank: On the free cash flow that you were talking about, what are you forecasting internally for your depreciation and CapEx for this year, and how should we look at, on a dollar basis at least, free cash flow for the entire year?
Dr. Sehat Sutardja: Two things; depreciation should be essentially flattish; Jeff could probably get you the number for this quarter. The forecast for the full year; nice question, but I think I’ll stick to forecast in just one quarter Sukhi; we do generate healthy cash flows. I think this quarter we had 25% of revenues. I think we should be in the 20% plus or minus and whatever your revenues for your full year will be.
Jeff Palmer: I’ll follow up with you offline Sukhi on the other question. Do you have another followup?
Sukhi Nagesh - Deutsche Bank: Just one last thing on the printed business; you didn’t talk about that at all. Can you give us an update on what’s happening there?
Dr. Sehat Sutardja: Printed business tracks a main customer. In the first few months of this year, it’s been down consistent with that main customer. I have seen some improvements lately though and so things should look up. That’s our existent base. The big exciting thing with that customer is we’re getting a lot of design wins in inkjet and in other areas, and we’ll start seeing that ramp the second part of this fiscal year, and next year that should start improving nicely. So right now that business is more reflective of the broader economy, but it should start picking up broadly. It has started already. That should continue to track the economy. Starting later this year and into next year, we’ll start seeing results of some design wins, some new customers, new technologies and some new products that we have, and we feel pretty good about that.
Operator: Your next question comes from the line of Kevin Cassidy - Thomas Weisel Partners.
Kevin Cassidy - Thomas Weisel Partners:  I was just wondering about the activity in the solid state drive controller business. Can you describe how that’s progressing?
Dr. Sehat Sutardja: Yes. We’re progressing quite well actually in solid state controller business. I think maybe it’s good for me to recap what we do in solid safe controller. We build solid state controllers for the enterprise markets and for high end applications initially. These are the devices that require absolute performance and absolute reliability, and this is what we are known for, leveraging our storage SSD controller technology that we built internally over the last 7 or 8 years, maybe even 10 years. That’s how we started. We have a handful of customers in this area, mainly the enterprise guys. We also over the last year or so are also building a more consumer class consumer class SSD controllers, basically removing some of the features that are not need in this market like super-crazy performance, so those are the devices that are being sampled into the market, and we want to see some of the devices. I think at Computex in Taiwan a number of these devices will be on demo. So this is a business where we provide chip software and complete software solutions to allow our customers to be able to begin production quickly. We continue to innovate. In storage, we have LDPC technology, and you shouldn’t be surprised that down the road some of this technology will also go into SSD class of products as some disk flash devices are going to be built using less than 30 nm or 20 nm process technology. The reliability of those flash chips is going degrade drastically, and so they will need more advanced digital signal processing DSP technology to overcome the limitation of flash, but again we are optimistic that over time more and more of our knowledge and our expertise in these areas will be more important in this business.
Kevin Cassidy - Thomas Weisel Partners: I was just wondering if you thought that revenue from these controllers would be significant by next year or does it take the nano flash to have to go down to the smaller geometries before it sees volume.
Dr. Sehat Sutardja: As I have said a few times in the past, the volume of the SSD will only be high as the flash manufacturers go into their more advanced process technologies because nobody wants to just have the 8 gigabyte or 16 gigabytes SSD. If people want to have 64 gigabytes or 128 gigabytes SSDs, people need to move on to the next generation or maybe even the next to next generation flash capacity to see the kind of volumes that you expecting. So it’s more likely that this grow naturally. People are willing to pay more and will initially adopt SSD. People who cannot afford it will wait until the supply of the flash chips meets the expectation of the people who can only afford to pay only a fixed amount of dollars for their budget. I’m not concerned about that. I look at it as a natural progress of our business. The other part that I feel good about it is that the more expensive the flash, it is also going to be more expensive and more likely there will be market for flash and HDD in PC markets, so they will actually increase our return, and then down the road as the flash technology price becomes low enough, then the SSD technology may even go into the handset market, but I don’t see that happening in the next year or two years or maybe a little bit longer than that.
Operator: Your final question comes from the line of Mark McKechnie - Broadpoint Amtech.
Mark McKechnie - Broadpoint Amtech: I have a couple of questions. The first is this embedded wireless business that is 20% of the total, I have got it as WiFi, printers, mobile ICs. You’re guiding it up 25% sequential. I just wanted to get a sense of how much of that do you think is for the end of the inventory burn, and it sounds like you’ve got some new customers kicking in, but if you took the new customers out, would that business still be up pretty nicely sequentially.
Clyde R. Hosein: The big chunk of that, more than 20%, is new customers, new design, new products, but if you strip that out, I would say it’s up moderately. I think Sehat mentioned there were certain customers where there was some inventory tightening, so I think it would be up moderately. Most of it though, to be clear, is in new product ramps at new and existing customers.
Mark McKechnie - Broadpoint Amtech: Your hard drive business, it was up pretty nicely sequentially, and I know there was some of the inventory burn as well, but did you start bringing on a new enterprise customer there, and did that make a difference?
Dr. Sehat Sutardja: I don’t have the number for the enterprise, but some of the numbers also part of it is the enterprise ramp up, so those things are expected to continue to ramp up over the next year or so. The majority of the volume still is in the desktop and mobile though.
Mark McKechnie - Broadpoint Amtech: That enterprise one started ramping up a touch, but there’s more to go. You did talk about in your opening numerous design wins, I think, that kick up in the back half of the year. I know you are not giving guidance past, but would you expect some additional new customers or products to make a difference out in October or January, probably more of the wireless because it sounds like your hard drive customers don’t kick up until 2010.
Dr. Sehat Sutardja: In terms of the wireless, I think the key is that people need to understand that it takes some time for new customers to ramp up to get the devices into the handsets to get the prototypes all tested in the field, so it could be the end of this year, but it also depends on the length of the qualification that is required by the carriers. Some of these new customers are also addressing some of the new carriers, so if it happens next year, it is possible.
Jeff Palmer: This ends our call today. Thank you everyone for your attendance on the call. We’ll be attending several investor conferences over the next several weeks. We hope to see you there, and we look forward to speaking to you at the end of our next quarter.
Operator: We thank you for your participation in today’s conference. This does conclude your presentation. You may now disconnect.